Operator: Good day, and welcome to the DraftKings Fourth Quarter 2021 Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions]. As a reminder, this call is being recorded. I would now like to turn the call over to Stanton Dodge, Chief Legal Officer. You may begin.
Stanton Dodge : Good morning, everyone, and thanks for joining us today. Statements we make during this call that are not statements of historical fact, constitute forward-looking statements that are sure to risks, uncertainties and other factors that could cause our actual results to differ materially from our historical results or from our forecast. We assume no responsibility for updating forward-looking statements. For more information, please refer to the risks, uncertainties and other factors discussed in our SEC filings. During the call, management will also discuss certain non-GAAP measures that we believe may be useful in evaluating DraftKings' operating performance. These measures should not be considered in isolation or as a substitute to DraftKing's financial results prepared in accordance with GAAP. A reconciliation of these non-GAAP measures to the most directly comparable GAAP measures is available in our annual report on Form 10-K that was filed today with the SEC and our earnings presentation, both of which are available on our website at investors.draftkings.com. Hosting the call today are Jason Robins, Co-Founder, Chief Executive Officer and Chairman of DraftKings, who will share some opening remarks and an update on our business; and Jason Park, Chief Financial Officer of DraftKings, who will provide a review of our financials. We will then open up the line to questions. I will now turn the call over to Jason Robins.
Jason Robins: Good morning, everyone. I hope you are all doing well. Before I share my thoughts on the fourth quarter, I want to thank everyone at DraftKings for their tremendous effort and contributions to our success. We had an incredible 2021, and our dedicated employees continued to deliver during an ongoing and challenging pandemic. I also want to thank our loyal customers for their continued support. At DraftKings, we are always striving to put our customers at the center of everything we do. On today's call, I will cover the following topics. First, I'll discuss our financial achievements. We outperformed our expectations for both revenue and adjusted EBITDA in the fourth quarter, capping off a year in which five of our states were contribution profit positive. We're off to a tremendous start in 2022 as well. Customer acquisition in new states has been accelerating while continuing to pay back on a gross profit basis in the two- to three-year time frame. As of today, 10 states are either already contribution profit positive or on track to achieve that milestone in 2022. Overall, we expect DraftKings to be contribution profit positive for FY '22. And if we were to have frozen new state launches at the end of 2021, we expect that DraftKings would have been able to achieve EBITDA profitability as an enterprise in Q4 of this year. Second, we continue to see rapid expansion of the OSB and iGaming TAM in the U.S. This is being driven by both new jurisdictions legalizing OSB and iGaming as well as continued healthy growth in existing states. Overall, in 2021, seven states enacted legislation for mobile sports betting, and we launched in five states last year with the other two states subsequently launching in 2022. In iGaming, one state enacted legislation in which we subsequently launched. We also saw two new states open up for Daily Fantasy Sports. Third, additional product features and functionality for our mobile sports betting and iGaming apps are driving increased customer retention and monetization as well as improved margins. Many of these benefits are now possible as a result of the migration to our in-house sports betting platform, which gives us the ability to diversify our bet types, optimize our in-game betting features and expand the breadth and depth of our content offering. We also introduced our new Dynasty Rewards loyalty program and continue to expand our social functionality. And finally, adjacent verticals further increase our TAM with the added benefits of more efficient customer acquisition, higher customer LTV. Our new growth initiatives such as DraftKings Marketplace and media are seeing promising early results, and we're optimistic about the potential for future growth. DraftKings’ 47% year-over-year revenue growth to $473 million in Q4 exceeded our guidance by 8%. The strong fourth quarter brought our full year revenue to nearly $1.3 billion, representing 101% year-over-year growth. Adjusted EBITDA in the fourth quarter also outperformed our expectations at minus $128 million. Fourth quarter Monthly Unique Payers increased to about $2 million, up 32% versus Q4 2020. Average revenue per Monthly Unique Payer increased 19% year-over-year to $77. I'm very pleased with the market share we achieved in Q4, which reflects the success of our technology migration and the strength of our overall business and brand. Our handle share for mobile sports betting across all active states was 32% in Q4. For iGaming, our gross revenue share was 20% in Q4, including Connecticut; and our market share in New Jersey set a record in each of October, November and December. We look forward to providing more color on a number of topics at our upcoming Investor Day, including our TAM, market share, product innovation, unit economics at both the player and state level, enterprise EBITDA and new organic growth vectors. Our key performance metrics, including user acquisition, retention and engagement continued to trend well in the fourth quarter and led to strong results across products. The fourth quarter was a record quarter for mobile sports betting handle on an absolute basis as we were live in more states compared to the fourth quarter of 2020 as well as on a same-state basis. In states where we were live for the entirety of Q4 2021 and Q4 2020, we saw a significant increase in engagement, with handle up to 65% due to paid actives growing by 37% and handle per paid active growing by 20%. Compared to the fourth quarter of 2020, iGaming gross revenue grew 153% year-over-year, including all state, and 61% year-over-year on a same-state basis. Looking at New Jersey, our most mature state where we launched mobile sports betting and iGaming in 2018, our MUPs continued to grow at a healthy rate. In the fourth quarter of 2021, Combined OSB and iGaming MUPs grew 18% year-over-year. MUPs in New Jersey were 78% higher relative to the fourth quarter of 2019. We had a very strong launch for mobile sports betting and iGaming in Connecticut, a state with only three mobile sports betting operators and only two iGaming operators. For mobile sports betting in Connecticut, our handle market share was 47%. Our gross gaming revenue share was 51% and our net gaming revenue share was 57% in the fourth quarter. For iGaming in Connecticut, our gross revenue share was 58%. Our business momentum has continued into Q1. On January 8, we launched mobile sports betting in New York. It took DraftKings less than 24 hours to acquire 100,000 first-time paid betters in New York compared to 17 days for Arizona, 170 days for New Jersey, 312 days for Pennsylvania and 344 days for Indiana. In our first 30 days, we acquired over 300,000 users in New York, which was 2.3x the average of our other states in their first 30 days on a population-adjusted basis. There is no question that customers are joining our platform faster than they did in states that we launched in previous years. As a result, our CACs are fantastic, but overall spending for the first few months is higher than it was for our more mature states, such as New Jersey. When the New York market launched, there was some aggressive promotional behavior by many operators, but DraftKings is committed to maintaining its disciplined approach to customer acquisition and is targeting a two- to three-year path to profitability for the state. We believe that product will be the key differentiator between operators over time. For example, our technology provides a seamless customer experience through a single integrated sign-in in wallet across product offerings and jurisdictions. We are already seeing this play out in the Northeast, where customers who travel between New York, Connecticut, New Hampshire, New Jersey and Pennsylvania are able to play on the DraftKings app without having to open a new account. On January 12, we announced that DraftKings will become the official Sportsbook provider of the Oregon lottery. Pursuant to our exclusive agreement with the Oregon Lottery, DraftKings Sportsbook replaced the scoreboard app on January 18. The DraftKings Sportsbook app offers additional betting markets and an overall superior customer experience. We look forward to serving all sports betters in Oregon. On January 28, we launched mobile sports betting for eligible customers in Louisiana's permitted parishes. With several professional franchises in addition to Division 1 collegiate athletic, there are ample hometown fan bases and opportunities in Louisiana to engage. And last Sunday, an exciting NFL playoff ended with another game that went down to the wire. It was also a great end to the season for DraftKings as on Super Bowl Sunday, our total actives across all products was nearly 1.7 million. In fact, this year's Super Bowl was our highest-ever day for actives and handle both in total and on a same-state basis. Looking ahead, we are raising our revenue guidance to incorporate the impact of New York and Louisiana as well as strong underlying performance in the states we were already live in last quarter. Jason Park will provide more detail. Turning to legalization trends. we have continued to see momentum. Following our launches in New York and Louisiana in January, DraftKings is live with online sports betting in 17 states that collectively represent approximately 36% of the U.S. population. Additionally, DraftKings is live with iGaming in 5 states, representing approximately 11% of the U.S. population. After the governor of Ohio signed into law a bill authorizing mobile and retail sports wagering, there are now 3 U.S. jurisdictions that have legalized where we are preparing to launch upon licensure and approval from regulators, Maryland, Puerto Rico and Ohio. These jurisdictions represent approximately 7% of the U.S. population and will bring the percentage of the population where DraftKings expects to offer legalized mobile sports betting to approximately 43%. So far in 2022, 10 state legislatures have introduced legislation to legalize mobile sports betting, and 8 state legislatures have introduced legislation either to expand their existing sports betting frameworks, create referendums regarding sports betting legislation or increase in-person sports betting opportunities. In addition, 3 states have introduced iGaming legislation and 3 other states have introduced online poker legislation. We also made 2 announcements that position us from mobile and retail sports betting in Kansas and the state of Washington pending changes in state law, licensure and receiving necessary approval from state regulators. I also want to comment on California and Florida. In California, we continue to work with a number of leading online sports betting operators in support of a campaign to bring regulated safe and responsible online sports betting to the state. Legal online sports betting is projected to bring hundreds of millions in tax revenue annually to the state to address 2 of the state's most pressing issues, homelessness and mental health. We are confident that the California Solutions to Homelessness and Mental Health Support Act will create a competitive market with the best products and experience for consumers. In Florida, we were fortunately not able to get the required number of signatures in time for inclusion on the ballot this November. This is due to a variety of factors, including COVID as well as the compressed time frame given when signature gathering started. We are very encouraged, however, by the over 1 million individuals who signed petitions in less than 8 months, which shows that Floridians do want the opportunity to vote on a competitive mobile sports betting market in the state. We are exploring all options to ensure that Floridians get that opportunity as soon as possible. And if we were to refile, we are very confident that, given the extended time frame, we will be able to qualify for the 2024 ballot. Ontario has announced that the province will launch the first competitive regulated and licensed online sports setting and iGaming market in Canada on April 4, 2022. We look forward to launching in Ontario and competing in that market, pending licensure and required approvals. For context, Ontario represents about 40% of Canada's population and would be the fifth-largest U.S. state by population. Moving on to product and technology. We continue to add breadth and depth to our mobile sports betting and iGaming products. As we have mentioned in the past, we believe that the long-term winners in this industry will provide the best product experience to customers. With the completion of the migration to our in-house bet engine, we are now capturing the acquisition synergies we anticipated in our mobile sports betting cost structure and have turned a variable cost into a fixed cost. For mobile sports betting, we launched parlay and same-game parlay insurance promotion capabilities in the fourth quarter. For those who are unfamiliar with this feature, parlay insurance allows betters to win something even if they lose legs within their parlay bet. This new capability has had a great response from our users, and it has supported growth in our mix in mobile sports betting handle coming from parlays. For same-game parlays, we also expanded our sport coverage beyond the NFL, college football and the NBA with the launch of College Basketball and the NHL in November. We invested in our in-play offering and in-play experience by introducing a new front-end user interface for Flash Bet that allows for a more engaging wagering experience. Flash Bet is an immersive live betting experience where users can follow what's going on in the game and get shown our flash markets, which refer to the next occurrence that will happen in the game. Markets supported by this functionality include Next Play Result, Drive Result and Drive Yardage for the NFL and next team to score and type of score for the NBA. For iGaming, we continue to benefit from cross-selling in the games we have created in-house. In the fourth quarter, 49% of mobile sports betting users in our iGaming states also engaged with our iGaming product. When looking at DraftKings' developed games, 56% of iGaming handle in the fourth quarter came from DraftKings developed teams, which is important both for differentiation and from a gross margin rate perspective. As an example, DraftKings Rocket is now launched in Connecticut and in Michigan in addition to New Jersey. This game continues to be very popular with our users. In the first 14 days following launch, 40% of Michigan's iGaming paid actives and 41% of Connecticut's iGaming paid actives played Rocket. This compares to 33% of New Jersey iGaming paid actives in the first 14 days. We look forward to updating you on the DraftKings developed means we will launch in 2022 on future earnings calls. DraftKings Social is an industry-first innovation that creates an integrated social community allowing fans to interact with each other within a peer-to-peer environment. This functionality, which we began rolling out in Q2 of 2021, is now live across our Sports Betting and Daily Fantasy sports products, and it is driving customer engagement through features such as bet-sharing. The average number of bets for users who have placed at least 1 bet through our social platform grew 67% from Q3 to Q4 which significantly outpaced quarter-over-quarter growth for users who have not placed a wager through our social platform. We will continue to add to our social functionality in 2022. For example, we're launching several additional social integration points across our Sportsbook and DFS products in the first part of the year. We're also building additional features, such as betting groups, which allow friends to bet in private groups where everyone gets to see each other's bets and chat, as well as chat features for both DFS and our live casino games. We will also be launching a feature that allows any user to go live with video and audio, which broadcast bets they make in real time to viewers. In November, we launched Dynasty Rewards, our all-new cross-product loyalty program that rewards players to their play across all DraftKings consumer products in all jurisdictions. Dynasty Rewards is the most comprehensive DraftKings loyalty program ever, featuring a wide spectrum of rewards curated for every kind of customer, from free credits to exclusive experiences. With the ability to earn on everything DraftKings and to choose how you're rewarded, we believe it will take the customers' experience to the next level, help drive retention and cement DraftKings as a top gaming and entertainment brand. We have tapped into our deep roster of lead deals and strategic partnerships to craft these once-in-a-lifetime exclusive experiences. At the launch of Dynasty Rewards, we partner with the NFL for an exclusive DraftKings Super Bowl getaway and the NHL for the Winter Classic, with many more experiences to come. Engagement with the loyalty program has been phenomenal. Approximately 95% of customers in our highest 2 tiers have actively engaged with the Dynasty Rewards program since launch. And this is just the beginning. Over the months ahead, we will continue to enhance Dynasty Rewards with more ways to earn and redeem, deeper integrations and utility within our core products, new perks with partners and retail locations and more. Draftkings Marketplace had another dynamic quarter as interest and demand continues to be strong. We sit at the intersection of Web3 and sports culture as the only company to offer digital collectibles, sports betting, daily fantasy and iGaming products. As the NFT space evolves, the broader DraftKings ecosystem will create more opportunities for our marketplace around utility gamification and custom offers that only we can provide. The fourth quarter featured drops from the Usain Bolt, Rob Gronkowski, Wayne Gretzky, Simone Biles, Tom Brady and Tony Hawk as well as SLAM Logo passes in the soft dome franchise. We also revealed plans with the NFL Players Association and One Team Partners, the group licensing partner of the NFLPA to launch gamified NFT collections that we anticipate debuting on DraftKings Marketplace during the 2022, 2023 NFL season. The agreement grants DraftKings licensing rights for active NFL players, including the authentic use of name, image and likeness. Initial anticipated features of DraftKings gamified NFL player NFTs include the ability for customers to use these collectibles within games against each other on the platform as well as separate buying and selling functionality. It is expected that there will be a variety of NFT additions in tiers that incorporate different aspects of utility and digital rarity. DraftKings previously announced a strategic agreement with Polygon to provide a scalable, eco-friendly blockchain solution that enables added throughput, lower transaction fees and expanded capabilities. We continue to add functionality and features to Marketplace. We launched auctions in conjunction with the exclusive drop of Dale Earnhardt Jr. NFT, and also offer an experiential element, with 1 auction featuring NFT coupled with the chance to do a lap with Dale at Speedway. Our media vertical is seeing good momentum with month-over-month audience growth, driven in large part through our Dan Le Batard and VSiN assets. Our goal is to continue to grow our audience and content, which is uniquely positioned across 3 dynamic industries: Sports, entertainment and technology. As part of that, we are excited to welcome Mike Golic Sr. to our roster of talent, and we have also been actively working closely with our partners at Meadowlark to greenlight several new shows that we expect will be announced in the coming months. And finally, last month, we announced the addition of 2 new senior leaders with extensive media experience to bolster our team and add velocity to our efforts. We will continue to invest in adjacent growth vectors like DraftKings Marketplace and media in 2022, with the approach that each of them will continue to drive the LTV-to-CAC flywheel that we are creating along with our existing core DFS, OSB and iGaming offerings. I'd also like to provide an update on our acquisition of Golden Nugget Online Gaming. In Q4, we made significant progress towards closing the acquisition. And upon closing, we are prepared to integrate the business and capture the synergies we outlined when we announced the transaction in August. We're excited to deploy a multi-brand strategy while accessing the millions of loyal Golden Nugget Online Gaming and Fertitta Entertainment customers. We anticipate multiple channels for cost savings by, among other things, recognizing enhanced returns on advertising spend through marketing efficiencies and eliminating platform costs by migrating to DraftKings' in-house technology. I also want to provide some recent updates on responsible gaming. I am proud that DraftKings is playing the long game and refining the customer experience through a relentless focus on responsible gaming education and by supporting research in this area. In December, DraftKings announced a multiyear financial commitment to the Kindbridge Institute for a new research program to study the nexus of veterans and responsible gaming, with the ultimate goal of advancing evidence-based research in this area and improving the lives of the veterans. And in January, we announced a multiyear financial commitment to assist the 35 state problem gaming councils across the country by providing critical funding, which will support the work of local non-profit organizations. As part of the new initiative, entitled the State Council Funding Program, DraftKings has offered each state council $15,000 per year for 3 years, a total commitment of $1.575 million over the span of the 3-year program. I will now turn the call over to DraftKings' CFO, Jason Park, who will discuss our fourth quarter results and 2022 guidance.
Jason Park: Thank you, Jason, and good morning, everyone. We are pleased to announce that we generated $473 million in revenue for the quarter, an increase of 47% versus Q4 2020. Our revenue performance was significantly better than the midpoint of our guidance for the quarter, which was $437 million. Our B2C business generated $458 million for the quarter, an increase of 58% versus Q4 2020. OSB hold was not a driver of overperformance versus our guidance. Our guidance on November 4 had included $25 million of core hold in October and November and December combined were fairly typical. Given that hold was neutral relative to the guidance we shared in November, the $36 million organic outperformance versus our guidance was due to strength across customer acquisition, retention and monetization. In our B2C business, we continued to drive strong growth through player acquisition and retention, as measured through MUPs, as well as player engagement and monetization as measured through ARPMUP. B2C Monthly Unique Payers in the quarter increased 32% year-over-year to approximately 2.0 million, which brings our full year MUPs to 1.49 million, which is up 69% versus prior year. The increase reflects excellent player retention in states where we were live with our OSB and iGaming product offerings in Q4 2020 as well as the expansion of our OSB and iGaming product offerings into new states. Results reflected typical intraquarter seasonality, with October and November higher from a MUPs perspective, followed by a modest decline in December. As a reminder, a MUP is a monthly unique player, and therefore, our number of annual active players is higher based on how many months per year a MUP plays. Average Revenue per Monthly Unique Payer, or ARPMUP, was $77 in Q4, representing a 19% increase versus $65 for the same period in 2020, which brings our full year ARPMUP to $67, up 31% versus prior year. Our ARPMUP was positively impacted by a continued mix shift into our Sportsbook and iGaming product offerings and cross-selling our customers into more products. B2B generated $15 million, a decrease versus prior year due primarily to the termination of our Asian reseller agreement. We generated $251 million of gross profit dollars on an adjusted EBITDA basis for the entire business in the quarter, representing a 33% increase versus last year. Gross margin rate in the quarter on an adjusted EBITDA basis for the business was 53% versus 33% in Q3 and versus 59% last year. On a quarter-over-quarter basis, you can see how the promotional intensity for new customer acquisition impacted our gross margin rate in Q3 versus Q4, where we focus more on monetization. On a year-over-year basis, more than half of the share gross margin rate was due to the reduction in B2B revenues resulting from the termination of our Asia reseller agreement. The remaining portion of the change was primarily due to investment in new states launched after Q4 2020, including Michigan, Virginia, Wyoming, Arizona and Connecticut. As Jason mentioned, the migration to our in-house bet engine has positively impacted our COGS as a percentage of revenue for OSB. Adjusted EBITDA for the quarter was negative $128 million, which also exceeded our expectations due to the strong underlying performance of our business. Our sales and marketing expenses were $263 million, which include our external marketing. External marketing was higher in Q4 2021 versus the fourth quarter of 2020 due to the 5 additional states that went live in 2021, offset by declines in more mature states. The 5 new states represent 9% of the U.S. population and were in their first NFL season. We are seeing more customers engage faster in new states versus states that launched in 2018 through 2020, which improves our per player acquisition costs while -- accelerating our total marketing investment in a new state. As a reminder, we invest to acquire a player based on 2- to 3-year gross profit paybacks, which we will discuss more at our upcoming Investor Day. Our general and administrative and product and technology costs on an adjusted EBITDA basis were $74 million and $42 million, respectively, as we continued to invest to achieve scale in our back office functions such as human resources, legal, finance and accounting and customer service as well as adding to our technology team principally for new product development. A majority of the combined $23 million of year-over-year growth in these 2 expense lines was due to the compensation of new employees. Our strong Q4 revenue brought our full year to $1.296 billion of revenue, $616 million of gross profit at a 48% gross margin rate and negative $676 million of EBITDA. Taking a step back, 2021 was a fantastic year of execution and continued learning. We will discuss more in our upcoming Investor Day, but it is clear that the business model is working. We are acquiring customers efficiently with clear 2- to 3-year gross profit payback periods, and states are turning positive 2 to 3 years after launching. Therefore, we have an increasingly clear line of sight into turning EBITDA-positive. Moving on to our balance sheet and liquidity. We ended the quarter with $2.2 billion of cash on our balance sheet. As we look forward through our scenario-driven multiyear plan, we continue to feel that we are well capitalized for the legalization path and growth ahead of us. As a reminder, our primary use of capital is to fund state launches. And under almost all scenarios and state launch timing, we have sufficient capital to achieve positive free cash flow. Looking at 2022, on our November earnings call, we introduced annual revenue guidance of $1.7 billion to $1.9 billion. Given new state launches and underlying customer acquisition, retention and monetization trends, today, we are increasing our 2022 revenue guidance to a range of $1.85 billion to $2.0 billion, a 7% increase at the midpoint to $1.925 billion. Our revised guidance equates to year-over-year revenue growth of 43% to 54% and B2C growth of 57%. We expect both MUPs and ARPMUP to grow in 2022, with MUPs increasing at a rate of about 50% higher than the expected rate of increase in ARPMUP. This guidance includes New York, Oregon and Louisiana as well as the resumption of mobile registration in Illinois no later than March 5. It also includes approximately $70 million in DraftKings Marketplace revenue in 2022. It does not include additional state launches, nor the impact of the Golden Nugget acquisition, which we anticipate will close this quarter. We will update our guidance following the closing of the transaction. For B2B, we expect revenues to be about $40 million with minimal growth going forward. Regarding our 2022 quarterly revenue cadence, we expect Q1 to be between $400 million and $420 million. Please remember that although New York and Louisiana launched in Q1, new states typically start generating positive GAAP revenue after 1 to 2 months. Looking at the rest of the year, we expect Q2 to be similar to Q1, Q3 to be modestly lower than Q1 and Q4 to represent the seasonally highest quarter for revenue. You'll notice this cadence implies a higher percentage of revenue in the second half of this year compared to 2021. This is partly due to New York and Louisiana as well as DraftKings Marketplace ramping throughout the year. Additionally, revenue distribution is affected by variations in hold. For example, in 2021, Q1 and Q2 had positive variances, whereas Q3 and Q4 had negative variance. For the purposes of our guidance, we are not assuming variances in hold will reflect last year's patterns as these are primarily driven by sport outcomes. Prior to today, we have not provided guidance for adjusted EBITDA. However, over the past few years, we have gained experience in multiple states, ran many tests to understand how to optimize our business increased our clarity on organizational requirements and gain scale in marketing, which supports providing EBITDA guidance at this time. We are focused on growth and on efficiency. We feel terrific about our customer cohort gross profit paybacks as well as state profitability, and thus, our trajectory for revenue and EBITDA. Three important points on profitability. First, we expect to be contribution profit positive this year, with contribution profit defined as gross profit minus external marketing. Number two, if we had not launched any additional states after December 31, 2021, we expect that DraftKings would have been able to achieve EBITDA profitability in Q4 of 2022. And most importantly, number three, based on all the states we are currently in, and if legalization trends remain consistent with prior years, which has been around 7% to 9% OSB legalization per year and 3% to 4% iGaming legalization per year, we would expect to be EBITDA positive in Q4 of 2023. For this year, including the 5 states representing approximately 11% of the population that we have launched since September and a return to mobile registration in Illinois, we expect our adjusted EBITDA to be between negative $825 million to $925 million. Our business model is based on acquiring customers with 2- to 3-year gross profit paybacks, states turning positive contribution profit after 2 to 3 years and then positive contribution profit states offsetting negative contribution profit states. In 2022, the states we launched in 2018, 2019 and 2020 will generate significant positive contribution profit. This includes New Jersey, which exceeded the expectations we laid out at our last Investor Day on both the top and bottom line. The positive contribution profit from these more mature states is partially offset by the negative contribution profit from newer 2021 states as well as large negative contribution profit from New York. Our guidance for adjusted EBITDA also includes continued near-term investments in non-external marketing expenses, given the high-growth stage of our industry. We will see the benefits of the investments we are making in 2023 as our P&T, G&A and fixed marketing expenses will grow at a meaningfully lower annual rate compared to prior years. From a quarterly perspective for 2022, given our launch in New York on January 8 and in Louisiana on January 28, we expect our adjusted EBITDA loss in Q1 to be between $320 million and $340 million. We expect Q3, which is impacted by the start of the NFL season to be slightly worse than Q1, with the second quarter representing a little less than half of our expected Q1 loss. We expect our fourth quarter loss to be smallest as we benefit from higher seasonal revenue. As a reminder, as you think about the rest of 2022, please keep in mind that any states at launch have minimal to negative impact initially on the top line as we promote, and a negative impact on adjusted EBITDA and as we spend on external marketing, to drive early customer engagement at CACs that are consistent with our 2- to 3-year gross profit payback period target. Our marketing spend is also highly flexible and can be reduced or paused altogether if attractive customer acquisition opportunities are not available or the sports calendar shifts. That concludes our remarks, and we will now open the line for questions.
Operator: [Operator Instructions]. Our first question comes from Michael Graham with Canaccord. Your line is open.
Michael Graham: Hey, thanks very much, and thanks for all the detail. I just wanted to ask two. The first one is just any quick update on in New York, how you're sort of dealing with the high tax rate there and sort of passing that along to the players. And then for a more involved question, just on ARPMUP, the performance there was so strong. Maybe just a little more color on the mix of factors from engagement or product or cross-selling? Just a little bit more color on sort of what you're seeing under the hood that's driving such good performance there.
Jason Robins : Thanks, Michael. Two questions. So the first one on New York. There's been some chatter of New York considering in this upcoming legislative session adjusting the tax rate down. I think the approach we're taking is a wait-and-see on that. And I think if that happens, depending on where it lands, then we'll adjust accordingly. And if it doesn't happen, then we'll adjust accordingly. So I think we're kind of taking a wait-and-see approach to this legislative session. And in New York, customer acquisition has been so efficient and the early player cohort results have been so strong that we're hopeful that, with an appropriate tax rate, it can be a very profitable market for us. But if not, we'll make the necessary adjustments to ensure that it meets the two- to three-year payback and that it is a very profitable market for us in the long run. As far as ARPMUP goes, few things that play there. One, we continue to see mix shift into OSB and iGaming from legacy DFS. That's been helpful. Second, we've improved our product dramatically over the last six months or so after migrating onto our own proprietary tech platform. We've seen an uptick in parlay mix. We've seen an uptick in live betting. So lots of good things there. And then lastly, I think that, really, the ability for us to cross-sell and to engage and activate customers continues to get better as our CRM programs have more and more test data, and we optimize those.
Michael Graham: All right. Thanks so much, Jason.
Jason Robins : Thank you.
Operator: Our next question comes from Joe Stauff with Susquehanna. Your line is open.
Joseph Stauff : Thank you. Good morning, Jason. Good morning, Jason. I wanted to ask relative to your EBITDA guidance -- EBITDA loss guidance in 2022, what sort of, say, promotional and advertising underlying environment are you assuming with respect to that guidance? And then the second piece to that is, I guess it's fair to assume that in the handful of states/province that you'll launch maybe later this year. I know you don't like to guide until you're actually in there. But one would think, say, the midpoint of that EBITDA loss guidance, the $875 million, is likely to be wider. Is that fair? And is there any magnitude you could give us?
Jason Robins : So on the first question, the new states that we've launched recently, including, of course, New York and Louisiana this year and then a few last year, we'll continue to invest in those in customer acquisition. Typically, the first year, sometimes two years, of customer acquisition are the strongest cohorts that you acquire. And I think it's really important that we continue to invest there. As noted earlier, we're keeping an eye on the New York legislative session. And I think depending on what happens there with the tax rate, we may make some adjustments. But as of now, we are basing it on what we know. And then as far as new states, as you noted, we don't really get into the habit of saying, here's what we expect to happen because we don't know when new states are going to launch. Obviously, Ontario has some clarity around it. But most other states that have legalized, namely Ohio, Puerto Rico and Maryland, have not yet set dates. So I think for now, we're going to wait and see on that. And I think there's a number of factors that could drive EBITDA better or worse than what we're guiding to right now. I think there's some upside, and there's, of course, the possibility of new states where we'd invest. So hard to say what the net impact will be, given all the moving parts.
Joseph Stauff : Thank you.
Operator: Our next question comes from Shaun Kelley with Bank of America. Your line is open.
Shaun Kelley : Hi, guys, good morning. Jason, I just wanted to dig into some of the comments on the reaching breakeven or profitability in 4Q '23. I guess my key question is, if we already use the same assumptions -- and you're incorporating some growth in these numbers, which we appreciate. Under the same assumptions, would you be full year profitable in 2024? And is that -- or is that too ambitious?  And sort of as the follow-up to that, would external marketing expense dollars actually start to decline as we get out into that period, let's call it, 4Q '23 or 2024? Or are we just seeing leverage, meaning declining as a percentage of sales, but not necessarily declining in absolute dollars, to get to some of those assumptions? Thanks.
Jason Robins : Yes, good question. So as we noted, we would expect, if we had frozen state launches at the end of last year, we'd be profitable by this year fourth quarter. And given, as you mentioned, normal 7% to 9% legalization of the population on OSB, 3% to 4% on iGaming, we'd expect to be profitable by the fourth quarter. As far as the entire year for '24, I think the expectation is we would either be profitable or close to it. Obviously, the further out we go, the more moving parts. But based on the assumptions we're making, it would be pretty much in that zone of either profitable or very close to profitable. And then as far as the question around marketing, we're not providing specific guidance around what marketing will be. But certainly, there will be a very strong impact from leverage. I think you can expect some slowdown in fixed costs as well. And obviously, the revenue growth we expect to continue to be strong. So I think that's really the primary driver there. But whether or not we make some optimizations to marketing, it will depend on how our testing goes.
Shaun Kelley : Thank you very much.
Operator: Our next question comes from Thomas Allen with Morgan Stanley. Your line is open.
Thomas Allen : Thanks. So two questions for me. First question, fourth quarter revenues were well ahead and EBITDA beat. One pushback we've heard is on where MUPs were a little bit lower at around 2 million, versus you guys had talked to on the third quarter call around 2.1 million. Can you discuss that a little bit? Second question, Jason Park, I think I heard you say that you have sufficient capital until you have positive free cash flow. So there's definitely a concern in the market that you may need to raise capital. So can you just address that?
Jason Robins : Thomas. First of all, very prescient report by you, almost nailing our EBITDA guidance, that was good. But I think as far as the MUPs go, we had said we had $2.1 million in September. Last quarter's average was actually lower. We haven't guided to MUPs, typically, so we didn't provide a guide. But I mean, it was pretty much on target with consensus, only like 3 or 4 analysts, I think, even predicting MUPs. And I think we were a couple of points short, but we were right where we wanted to be. But we haven't provided guidance there. And of course, it's an average of all 3 months. So as you get into certain months with different sport mixes and further into the NFL season, it can vary. But if you look at the quarter, last quarter, we actually went up in MUPs quarter-over-quarter, and we certainly went up year-over-year. And then I apologize, what was the other question? Oh, on capital and free cash flow. So we have said all along and continue to say that we expect that we have enough capital on the balance sheet to get to free cash flow positive. Nothing has changed there. Obviously, we would have to have a meaningful improvement in year-over-year losses starting in '23, which is what we expect, very similar to, I think, what you wrote in your report. But our plan, our multiyear plan that we have, does not require any additional capital raise.
Operator: [Operator Instructions]. Our next question comes from Stephen Gambling with Goldman Sachs.
Stephen Grambling : Grambling, but close. Follow-up on MUPs. I think I heard you reference 1.7 million actives at the Super Bowl. How does this compare to last year? As optically, it does look like it's down sequentially from fourth quarter even as New York opened.
Jason Robins : Well, it was way up from last year. I mean, remember, that was 1 day. If you look at the quarterly MUPs, it's going to be higher than any 1 day would be, or at least the monthly would be. Obviously, there's some seasonality in there as football ended in February. But that was 1 day that was by far the most we've ever had in 1 day, and it's not even close. We haven't disclosed specific number last year from Super Bowl, but that's something we can consider doing at our upcoming Investor Day, but I can tell you it was up extraordinarily higher year-over-year versus last Super Bowl.
Stephen Grambling : And if I can sneak 1 other very quick one in. I guess on the guidance, EBITDA loss guidance, I guess, what is the underlying assumption on the broader promotional intensity?
Jason Robins : Our assumption is that we continue to run very similar new customer promos to what we've run in the past, and that we run similar retention-based promotions around key moments like the start of NFL season. So nothing's really changed there. And I think as we've noted in the past, as states mature, just based on the fact that a higher percentage of promotion is spent on new customers than repeat, you should expect to see natural decline. And then, of course, the mix of new versus mature or more mature, I should say, states will affect the overall. But I think that you can kind of assume it looked like -- or it will look like what it's looked like in the past.
Operator: Our next question comes from Jed Kelly with Oppenheimer.
Jed Kelly : Just with your guide to contribution profit neutral, it kind of implies you're spending a lot of money on technology, G&A. How much of these investments are going to revenue channels that we would consider outside of gaming or gambling? And then is there anything you could give us what your total contribution profit was in '21?
Jason Robins : So on the first question, very little is going outside of our DFS, OSB and iGaming products. Our expectation is that the new verticals are breakeven or better. So I don't think you should expect to see any real negative impact to EBITDA from anything new that we're investing in organically at the moment. As far as how -- why, I think if you kind of take a step back and look at the competitive picture, and we've always said that we believe that product is where you win. We’re in a position where our top 2 competitors have thousands of engineers, have much more mature markets in Europe that they've built up a team around for many, many years. So our strategy was to really pull forward a lot of the product and technology hiring that we needed to do. As we go forward, I think you should expect to see a meaningful slowdown in fixed costs over the next several years because, really, for us, it was about trying to pull forward and achieve a higher level of scale. Maybe a little ahead of where the revenue is, but knowing we had growth, I mean, we more than doubled year-over-year last year, we don't expect it to take more than a year or 2 to grow into that. But it's really a reflection of, if we felt like products and technology was going to be the most important thing winning long term, we had to be on a more level playing field with those we are competing with. And then what was the other question?
Jed Kelly : Contribution profit for '21.
Jason Robins : We'll have more information on that at our upcoming Investor Day. What we said so far is that we will be positive contribution profit in 2022, but we'll have more information on what 2021 looked like in our upcoming Investor Day on March 3.
Operator: Our next question comes from Carlo Santarelli with Deutsche Bank.
Carlo Santarelli : So guys, you provided a lot of color. I was just hoping kind of to more or less understand the definition and see where kind of the contribution profit, if you could bridge the commentary around contribution profit for 2022 relative to the EBITDA guidance and just kind of address some of the major buckets there that maybe we're not appreciating entirely in that kind of definition or nomenclature that you guys use.
Jason Robins : Sure. So contribution profit is gross profit minus the external marketing, so the advertising that's oriented towards customer acquisition. And we include all of it. So it's not just the local advertising, any national advertising, DFS advertising, we're doing is all included in that number. And as we've said, we expect to be contribution profit positive in 2021 based on the states that we're in today -- 2022, excuse me, based on the states that we're in today.  I think that the logical assumption is that the remaining costs are fixed costs. And as I noted in the last question, we felt like, in order to be competitive and feel like we're actually out competing our top rivals right now. But in order to get there, we had to staff up on the product and technology side. We still have less engineers than some of our top competitors. But I think we've been able to ship product and rapidly evolve our products faster than anyone else in the market, and that's partly due to our focus on the U.S. We don't have to use some of those engineers to focus on products overseas. So I think that's been very helpful. And I think we feel like now, we're in a position where we can moderate fixed cost growth and really allow the revenue scale and the contribution profit from states to kick in and drive improvements to the bottom line, probably starting later this year and certainly into 2023.
Carlo Santarelli : Great. That's helpful. And just longer term, the external marketing as a percentage of net revenue, you guys are still targeting like around 10%?
Jason Robins : Yes, that's about right. We'll have more information on that in our upcoming Investor Day, but that's about right.
Operator: Our next question comes from David Katz with Jefferies.
David Katz : If you could just spend a minute on Canada specifically because if I'm correct, that's incremental to the numbers that you've laid out today. And I'm just wondering if the calculus there in terms of that market entry is it's not a regular state. If the calculus changes there in any way, one way or the other, and how we might work that into our models here.
Jason Robins : Definitely, it's different. There's been a gray market there for many years, which a lot of the operators will be competing with have already been operating in and have already had time to build customer bases. So as noted in last year's Investor Day, we are not projecting the same level of market share in Ontario or in Canada in general that we are projecting in the U.S. just because we don't have that early-mover advantage that we have in the U.S. I think the way we'll approach it is the same way we approach everything else that we do. It's going to be analytically based. We're going to target 2- to 3-year paybacks. And I think, depending on what we see in the data, we'll adjust accordingly. But it should be a good market, it has iGaming, it has sports betting, and we already have a decently sized user base of DFS customers there. So we're pretty excited about Ontario.
Operator: Our next question comes from Dan Politzer with Wells Fargo.
Daniel Politzer : I just want to follow up on Ontario. How do you think about the promotional environment there versus a big market that we're saying launch such as New York? What are -- are there any differences in terms of what you'd spend maybe there, just given the population and maybe differences in regulations?
Jason Robins : Yes. It's something I think we're still evaluating. Obviously, Ontario is a very large population. It's -- I think it would be the fifth-largest state by population if it were in the U.S. So it's a pretty meaningful population. And of course, it has iGaming. So I think that improves the overall TAM available to us. So just like we will with external marketing, we're going to do a lot of testing, and we're going to base whatever decisions we make on what the data tells us.
Daniel Politzer : And then just a quick clarification on the fourth quarter EBITDA becoming positive. Does that assume a launch in Ontario and Maryland will be some of the other jurisdictions you haven't already launched in?
Jason Robins : No. We -- so to be clear, we've said that if we did not launch any states after the end of 2021, we would have been EBITDA positive in the end of -- in Q4 of 2022. So the intent is not to be based on -- we've launched now in New York and Louisiana. But what we've also said is that if you assume a normal legalization trend of 7% to 9% in OSB and 3% to 4% in iGaming, that we would expect to be EBITDA positive by Q4 of '23. So I think you can assume that Ontario is included in that, and it will obviously depend on any other states or jurisdictions that open up. And -- if that ends up being higher, that's a good thing because it means that the TAM is larger, but we won't get there on the EBITDA positive side because there'll be more investment. If it ends up being a slower pace of legalization, which ironically is probably not great because it means that the TAM isn't growing as quickly, we would actually expect to achieve EBITDA profitability on a faster basis.
Operator: Our next question comes from Joe Greff with JPMorgan.
Joseph Greff : Question is this. Most of my questions on the business have been asked and answered. But why aren't insiders buying the stock? And will insiders buy the stock?
Jason Robins : Well, of course, we can't talk about what will happen, but we have had several insiders buy the stock. Many members of our Board...
Joseph Greff : Outside of Directors, I'm talking about inside executives.
Jason Robins : Well, I've been exercising options, as has several other members of our executive team, which is in effect, buying stock. So I think as long as there's options to be exercised, that would probably be the first stop for most executives. But I can't speak for everyone else. Also, as you know, there's wash rules. So based on 10b5 programs that have not been active the last few months but were active within the 6-month time frame, it's not possible for executives to buy shares right now. But we can certainly exercise options and we have been.
Operator: Our next question comes from Robert Fishman with MoffettNathanson.
Robert Fishman: I have a follow-up on advertising. We've seen how sports betting advertising is already 1 of the top local TV categories in the legalized markets. And now that New York is live and you continue to scale across the U.S., can you discuss your plans to ramp up on the national advertising piece? And how do you think about the balance of local versus national ad spend this year?
Jason Robins : It's a great question. We've said in the past that we expect to achieve optimal -- excuse me, more efficiency on the advertising side because, of course, advertising at the national level is much less expensive in many channels like television on a cost per impression basis than local. We have already started, starting last NFL season, shifting some of our spend into national. We crossed that threshold with the launch of New York of about 1/3. So I think you'll continue to see more. And what's nice is that those national ads that we run, with each new state that legalizes, it's not like we have to put more national advertising out there. It actually reaches that population and was always reaching that population. The difference is now, they can sign up for the app. So I think you'll continue to see some tailwinds coming from just more state legalization and a continued shift into national. Of course, with state launches, we'll always have some heavy up on the local side, and there are certain channels that will always be local, like outdoor digital. But I think the national advertising will continue to grow as a percentage of the portfolio, and that should have a tailwind effect on the overall efficiency.
Operator: Our next question comes from Ben Chaiken with Credit Suisse.
Benjamin Chaiken : Kind of on the lines of Carlo's question, the implied SG&A bucket, as you're bridging from contribution profit to EBITDA, which you can infer from the '22 guide, or ballpark. Is that fixed? Or does that growth inflation? How should we think about that?
Jason Robins : Well, we've already made a number of market adjustments. Obviously, it's a tough labor market to deal with that. I don't expect that we'll have -- obviously, who knows? It's -- I don't have a crystal ball, but I don't expect, based on what we know today, that we'll will have any more impact to labor cost due to inflation. As I noted earlier, we had to really hire up quickly in order to be competitive with some of the more at-scale European competitors that had, much larger than we did 2 years ago, product and engineering teams. We feel like now we're in a position where we can be very competitive, actually outcompete on product and technology. And we feel like outside of some things like customer service, obviously grows as new states open. Outside of some of the smaller categories like that, we expect much more moderate fixed cost growth starting 2023 forward.
Benjamin Chaiken : Got you. Okay. That's helpful. And then 1 more. You may have kind of implicitly answered it, but you guided overall 4Q '23 EBITDA to be positive, but that included some incremental states even after New York. I guess just for like illustrative purposes, how should we think about that time line if things remained static?
Jason Robins : Well, you mean if no more states legalize?
Benjamin Chaiken : Yes.
Jason Robins : Yes, I think it would be faster. So really, as we've talked about in the past, with a 2- to 3-year path to profitability in states, that first year and sometimes part at least of the second year, are meaningful investments for us as we ramp up our customer bases in those states. So were there to be more states in rapid succession, I think it would push out profitability a little. And were there to be less in the example you gave, I think it would accelerate profitability.
Operator: And our last question comes from Bernie McTernan with Needham and Company.
Bernard McTernan : It seems like as markets keep launching, they're further along the TAM curve, which New York is the latest example of with Ontario in the already very much established gray market. How far along this curve do you think it could launch relative to the $5 billion market opportunity that you guys called out before at the 100% -- assuming 100% regulation?
Jason Robins: Very hard to say. We don't have any experience yet in Canada. So -- but I think the -- in terms of quantifying. But I think the effect you talked about, absolutely, we believe to be the case. There's already a large built up market. To some extent, that's true in the U.S., too, where there have been a legal operators and bookmakers that are local for many, many years. And I think that what you're seeing is that, with overall increased awareness, and really, we think the overall sort of weight of advertising, even though it seems more competitive, I actually think it's helped us. I think DraftKings does a differentially better job converting new users. And I think 1 of the reasons you see such a faster pace to 100,000 users in recent states like Arizona and New York, it's because of the competitive advertising, ironically. So I think a lot of that is actually accelerating our ability to launch faster and to grow faster. And it might even lead to a faster path to profitability in states. We'll have to see.
Operator: That's all the time we have for questions. I'd like to turn the call back over to Jason Robins for closing remarks.
Jason Robins: Thank you all for joining us on today's call. We are very excited about 2022, and we look forward to speaking with you at our virtual Investor Day on March 3. I hope all of you stay safe and well. Thank you.
Operator: This concludes the program. You may now disconnect. Everyone, have a great day.